Operator: Welcome to the PBF Logistics First Quarter 2020 Earnings Conference Call and Webcast. [Operator Instructions]. It is now my pleasure to turn the floor to Colin Murray of Investor Relations. Sir, you may begin.
Colin Murray: Thank you, Brie. Good morning, and welcome to today's call. With me today are Matt Lucey, our Executive Vice President; and Erik Young, our CFO; and several other members of the partnership's senior management team. If you like a copy of our earnings release, it is available on our website. Before we begin, I'd like to turn your attention to the forward-looking statements disclaimer contained in today's press release. In summary, it outlines that statements in the press release and on this conference call that state the partnership's or management's expectations or predictions of the future are forward-looking statements intended to be covered by the safe harbor provisions under federal securities laws. There are many factors that could cause actual results to differ from our expectations, including those we've described in our filings with the SEC. As noted in our press release, we will be using certain non-GAAP measures while describing the partnership's operating performance and financial results. For reconciliations of non-GAAP measures to the appropriate GAAP figure, please refer to the supplemental tables provided in today's press release.  I'll now turn the call over to Matt.
Matthew Lucey: Thank you, Colin. Good morning, everyone, and thank you for joining us on the call. PBF Logistics operated well during the first quarter. While we are not immune from the impacts of the pandemic, our strong sponsor relationship and long-term contracts, provide support for 90% of our base business. As the market rebalances for consumer demand, we have obviously seen a decline in our throughput volumes. This has been partially offset by increased revenues and opportunities in our storage business. Gasoline demand across the country appears to have bottomed out and approximately 50% down from pre-COVID levels in April and has recovered to approximately 25% down nationwide relative to historical seasonal demand. Our rack system performed a bit better than the national average, seeing a decline of just over 40% at its low point, while most recent data shows a 20% decline off the base. Today, we announced a distribution of $0.30 per unit, which we believe is prudent given the uncertain outlook. The reduction was not based on the company's performance or outlook, but rather reflects a move to conservatism. The reduction equates to approximately $14 million per quarter, which will be used to strengthen the company's balance sheet.  Longer term, this action will provide the capacity for the company to react appropriately with respect to growth and leverage as we move forward. In addition to the distribution, the company has also deferred discretionary projects and will continue to reevaluate the marketplace as we go.  With that, I'll turn it over to Erik.
Erik Young: Thank you, Matt. Good morning, everyone, and thank you for joining us on today's call. We reported first quarter net income attributable to the limited partners of $34.8 million. Adjusted partnership EBITDA was $57.9 million, which includes approximately $1.6 million of transaction-related expenses, environmental remediation costs associated with our East Coast terminals, and noncash unit-based compensation. Our earnings were up quarter-over-quarter and year-over-year, which is a reflection of the overall growth of our business through acquisitions, and continuing development of our organic growth projects. During the quarter, we spent approximately $4.8 million in maintenance CapEx and $6.1 million in total Capex. We ended the quarter with approximately $228.3 million in liquidity, including $116 million of cash and approximately $112 million of availability under our revolving credit facility. Net debt to annualized adjusted EBITDA was 3.4x.  Operator, we've concluded our opening remarks, and now we'll open the call for questions.
Operator: [Operator Instructions]. And there appear to be no questions at this time. So I'll turn it back to Matt Lucey for closing remarks.
Matthew Lucey: I appreciate everyone's attendance on the call, and we look forward to speaking to you again next quarter. Thank you.
Operator: This does conclude today's program. We appreciate your participation, and you may now disconnect.
End of Q&A: